Operator: Welcome to Vestas Wind Systems A/S information meeting. 
Lars Villadsen: Good morning all and welcome to our investor call here this morning. This is Lars Villadsen, head of investor relations speaking and together with me on this call I have our chairman of the board Bert Nordberg and our CFO and acting CEO Marika Fredriksson. Operator, please turn to slide 2. As you can see and as you all know, we have released two separate announcements this morning. One, announcement on the appointment of our new CEO Anders Runevad and the second one on our second quarter earnings release. Consequently, we will also have two separate tracks in this call. First, our chairman of the board Bert Nordberg will give a brief introduction and statement on the appointment of Anders Runevad as our new CEO. And then we will open up for questions and answers on that particular topic. Then we will close the question and answers and Bert will leave the call and Marika Fredriksson will take you through our second quarter financials. As always, there will be a session with questions and answers on our second quarter financials and at the end of Marika’s presentation. If you turn to slide three, operator, then I would like to hand over the word to our chairman of the board Mr. Bert Nordberg.
Bert Nordberg: Well, good morning everybody and thank you for calling into the investor call. My participation in this call is to give a background on the appointment of the new CEO of Vestas Wind Systems. In the board, we have taken the decision to work on sort of different tracks, one track is of course to stabilize the company and we feel that we have step by step come into more stable situation where we have taken some grip on the balance sheet and we feel that now is the moment to change the CEO to get a new leadership in the company. At the board and the nomination committee was worked thoroughly with this recruitment. We started by creating a profile – a profile of what we were looking for and what would be the perfect candidate for Vestas. We needed a candidate that is experienced in complex business environment and making deal in very complex environment. The candidate should also have a very broad international business experience. He should be used to complex business deal in the infrastructure world. The candidate should have had proven results especially on profitability of those deals. The candidate should also be used to work in the political environment and be very knowledgeable about the political lobbying which is part of this kind of business. We also required deep technical understanding and a top education and the Master of Science and then at least a decent understanding of business to business experience. What was not in the profile was race, gender or nationality. We looked and we found the candidate – a candidate that you see in the slide with the background where I think Anders matched very well the profile we were looking for. He has enough experience in international business, has lived in several parts of the world, he’s done international and complex business deal in the infrastructure business and that will be crucial for us. The reason for this leadership change is that we now want to finalize the restructuring and we want to go into stable, profitable growth of this company. And stability is what we are looking for and we feel that our candidate is the right profile to ensure that Vestas become a very, very, stable long term company. Also, Anders have a broad experience in building up services business which we feel is a great opportunity for the future. By that, I leave the floor open for questions.
Operator: Thank you. We will now begin the first question and answer session. (Operator Instructions) Daniel Patterson is from SEB is on the line with a question.
Daniel Patterson – SEB Equities: I have a question relating to, let’s say, the role of the new CEO, in particular regarding the cooperation with the newly created position of chief operating officer last summer. Could you give us a little bit of flavour of how the new CEO is going to sort of then prioritize his time regarding operations versus sales versus investors, any flavour on that would be helpful. Thank you. 
Bert Nordberg: Okay. I think we have been quite successful in the recruitment of Jean-Marc, COO and I feel comfortable about his ability and the way he runs the COO position. We have sort of a strong CFO that will speak after me. We have a good chief sales officer and we have a brilliant head of technology and services. So Anders, as a CEO, his overall responsibility, the focus for me and the discussion with Anders is to first ensure that the company come back to profitability and a stable profitable ground, and also that increase the focus on the services business and ensure that all the deals we make have a good profitability. So I think he will be very active in the sales arena in the beginning to ensure that he understands how the profitability works and the pricing algorithms in this world works. I also think that Anders is a good coach and will work very well together with the team. But in the end he is the CEO, so he’s overall responsible for all the things. But the priority now is to get into the profitable road. 
Daniel Patterson – SEB Equities: Can we assume that Anders Runevad will also conduct investor relations, do road shows and continue this new, let’s say, improved investor relations policy that the company has had in the last couple of years?
Bert Nordberg: Yes, you can definitely expect that.
Operator: Shai Hill from Macquarie is on the line with the question.
Shai Hill – Macquarie: It’s Shai Hill at Macquarie in London. Two questions please to the chairman, you talked about the nomination committee drawing a profile, when did the committee decide to replace Ditlev Engel as CEO? That’s the first question. And the second question is do you – I am assuming but correct me that, you knew the new CEO from Ericsson. So you had some experience of working together or you’ve known him well?
Bert Nordberg: Well, the decision was taken a while ago that we should start looking to see – to be prepared if we could find a profile that was perfect. When Anders was identified, the nomination committee is the vice chairman – it’s me, it’s Jørgen Rasmussen and [Jørn Thomsen] of the board, and I knew Anders pretty well. So I decided that the other three has been the main interviewers and I could only be referenced Anders for what he achieved as head of Europe in Ericsson. We feel that we are fortunate to find that profile. So the appointment is made – it wouldn’t be made if we didn’t find someone that matched the profile that we were looking for. But we are very happy and it’s taken a while but we are very happy that we found this profile.
Shai Hill – Macquarie: Right, thank you. Could I just pursue a little bit more if you can be a more precise on when you took the decision to replace Ditlev Engel?
Bert Nordberg: No.
Operator: Dan Backwell from Retail is on the line with a question.
Dan Backwell - Retail: Hello. I have another question about the CEO transition. Did the decision to replace Ditlev Engel has anything at all to do with the ongoing revelations around project Dragon (inaudible)? That’s the first question. And my second question is are the negotiations with Mitsubishi still going on?
Bert Nordberg: The first question is that that has nothing to do with that. The decision is that board felt that it’s time to look for a new leadership, it’s nothing to do with the all different legal processes that have been announced. So there is no connection to that. The other thing is that when it comes to Mitsubishi we have press released that we are in negotiation with Mitsubishi, through the stock market. If they – those negotiations were closed down, we would press release that.
Operator: Johannes Ledel from Wall Street Journal is on the line with the question.
Johannes Ledel - Wall Street Journal: Hi, yeah, I was wondering if you could maybe provide some background on the sort of reasoning behind the transition, because it seems sort of all that you would have an interim CEO only for 11 days, sort of when was – and also when was Ditlev aware -- made aware that he would be leaving Vestas?
Bert Nordberg: Yeah, it’s sort of a – I don’t know, because it’s a board decision, I think it’s fortunate that we – 11 days after the appointment have been able to negotiate with the Anders’ employer to get him released for the 1st of September. We had a board meeting yesterday where the formal decision was taken and then we have 24 hours to inform the market which we did. We did it in connection to this Q2 report and after that it takes – Marika has to be in charge because we don’t feel that a CEO who has been announced leaving should be present on work those 11 days, we are perfectly comfortable with Marika handling the company for 11 days. What was your other question?
Johannes Ledel - Wall Street Journal: I was wondering when Ditlev was made aware of it, sort of like it seems a rough transition, I was sort of – if you had some reasoning behind that?
Bert Nordberg: Well, Ditlev – when he was aware it is sort of course in connection to the board meeting. So that’s why he has to leave.
Johannes Ledel - Wall Street Journal: So he had no – he wasn’t aware of it prior to this and I am sort of trying to figure out what his role in the scene?
Bert Nordberg: I don’t understand why you asked that, I told you that he was aware – he was made redundant from CEO yesterday. I don’t know what you are looking for.
Operator: Patrik Setterberg from Nordea is online with the question. 
Patrik Setterberg – Nordea: Hello Chairman, I have a question regarding as you call it profitability road. Now with a new management in the company, will the new management come back with a more firm financial targets?
Bert Nordberg: Well, the new management – you have to give them a chance to work together for a while but what I am saying that the company and the board we choose to put the company on a track where we go towards profitable growth. That’s what I can comment today. And as you have seen in the report, we have increased the cash flow forecast for the year and if there is any other change in the forecast that will come when we feel it’s -- the management feel safe that they can provide.
Operator: Richard Milne is on the line with the last question of round one. 
Richard Milne - Financial Times: Hi Mr. Nordberg, Richard Milne from the Financial Times. Just two quick questions, there obviously have been a lot of investor criticism of Mr. Engel, can you say what role – did that play a role in your decision? And the second question, you are saying that you want to stretch profitable growth to make sure every deal is profitable, is that in some ways an implicit criticism of what’s going on previously?
Bert Nordberg: I think there has been sort of – even if the market looks more bright today there has been a fight – we have been forced to fight on the pricing side in certain deals which I think is sad. But we need to understand that in the end the company must have a sort of sustainable profitability and that’s what we are looking for in the board with the new road going forward. When it comes to Ditlev and myself, we have had a really good cooperation. Ditlev and I am totally satisfied with the steps being taken and at times we have made in the board together with the management and how they have been implemented. But we still feel that after eight and half years we are looking for a tweak of the culture and more focused on the profitability and the future without surprises. So I can only say that Ditlev has fulfilled what I have asked him to do, what the board have asked him to do. So we have no criticism of that. He understands that the company and the board wants a different leadership going forward and we are still good friends. 
Lars Villadsen: With that, operator, we would like to close the Q&A session and go further to this Q2 financial presentation please.
Bert Nordberg: Okay. Then we leave over to Marika. Thank you very much everybody.
Marika Fredriksson: Thank you. Operator, if we can turn to slide number five. I would like to welcome everyone and also thank you for participating in this Q2 earnings call for Vestas. The agenda is as follows: an introduction part, financials, order intake and outlook which all will be presented by me, Marika Fredriksson. And we will also have a Q&A session and that again will be me and Lars Villadsen, Head of IR, Vestas. By that we go to the main presentation part and the introduction part on slide number 8. There are three core focused areas that in Vestas and that is a continued priority going forward. It is continued reduce costs through the operational excellence, also continue to reduce investments which we have proven so far. We will also continue our path on the improved capacity utilization and capital efficiency. We will get into more of the details in the improvements of the net working capital and the net working capital management. So thereby I am saying that we are continuing the turnaround plan and continue on our efforts to improve the operational excellence for Vestas. Please turn to slide number 9. The fixed cost savings continues and we continue to – it’s slide number 10, sorry. If we turn to slide number 10 and the fixed cost savings, we have continued to reduce the number of employees in the quarter and you can see if you compare to the full year of 2012, we have continued to reduce the number of salaried employees. As we have said, the hourly paid employees will go a little bit up and down in the quarter depending on the activity and here you can clearly see and we will come into the details that we have decided to keep the tower plants in Pueblo and also ramp up the activities in the plant. If you, operator, please turn to slide number 11, the lower CapEx – CapEx focus continues and you can see if you compare Q2 of 2012 with ’13, that we have reduced the CapEx by more than or 62% compared to year ago. And this has been communicated earlier no new factories which of course has a significant impact on the reductions. If you, operator, again turn slide number 12, we continue the capital efficiency and capacity utilization. A lot of focus in Vestas and a lot of focus from my side on the net working capital that has a proven result. And we have continued the improvements on the cash collection. We also have sale of a wind power plant in the quarter and we continue to focus on improving the overall net working capital. The assets held for sale have changed since the last quarter about the decision to divest. So we have now a decision to keep the tower factory in Pueblo and actually ramp up the activities. The machining and casting units will be divested and I will come back to in the financial part more of the technical reversals in the balance sheet. So if we go into the financial part and thereby slide number 14, Q2 of this year is represented by a lower activity and thereby the shipments and the deliveries is reduced compared to Q2 in 2012, which again was a very high activity quarter compared to Q2 of this year. So you can see shipments are down by 47% and deliveries 33%. The shipments are mainly affected by lower activity in Americas. If you turn to slide number 15 and have a look at the income statement, you can see that revenue is down quite significantly – is down by 26%. Despite that we managed to deliver an EBIT before special items that is positive and then you can also see here on the special items that is mainly represented by write-downs. If you go to slide number 16 and compare the EBIT developments in Q2 of this year compared to last year, you can see that the project volume as stated earlier, has a significant impact, also the project margin. That has to a certain extent or quite a large extent been compensated by continued reduction on the fixed capacity costs. If you go to slide number 17 and look at the EBIT development quarter over quarter this year. We said in Q1 that the project margins in Q1 were not representative for the order backlog we have in the company. Q1 was affected by a couple of lower margin projects and here you can clearly see if you compare to Q1 that the project margins in Q2 are higher and thereby have a positive impact on the EBIT. If you go to next slide, slide number 18 and look at the reduction of employee costs, and here you can see we continue to reduce the number of employees despite ramping up and keeping the tower factory in Pueblo. I think it’s worth noting here that we maintain our targets in the number of employees at 16,000 despite the fact that we have decided to keep the US tower plant. And we estimate to get to the target of 16000 despite the fact by divesting the machining and casting units which will represent approximately 1000 employees but also continue lay-offs and hiring freeze in the group. If we continue to slide number 19 and the fixed costs, and you can see here if we compare to Q4 of 2011 with Q2 of this year, it has been quite a dramatic decrease and this is clearly stating that we continue to deliver on the turnaround plan that was initiated and going forward, we don’t estimate that effect in the second half to be as dramatic as it has been in the beginning. But having said that we will look forward to continue our focus on being more effective and continue to reduce costs wherever possible. If you look at slide number 20 and the service business, we have if we compare to Q2 of last year improved the service revenue by 10%. We have also had a good first half with the margin of 29%. We estimate that we will keep the number of employees at the 5000 employee level which means no head count increases. A really positive factor is on slide 21 and it’s the balance sheet, and if you have a look at the net debt it is a great improvement of close to 400 million improvement or reduction, and you also see that net working capital has improved. And this is a key component in our turnaround plan and becoming more efficient in our use of capital. And if you look at the non-current assets held for sale, they all reduced to 21 and I will get into the details on the coming slide. So what you see here on slide number 22 is assets held for sale is decreased to 21 and there is a reversal of write-down in the Pueblo plant as we have decided to keep the plant and also increase activities. So we for next year estimate a full capacity utilization in the plant. We also have to reclassify the sale, so the assets held for sale are reduced by 98 million and we also have further write-downs that is partly offset by the reversal of machining and casting units. And the reason for the write-down is that we are in the midst of negotiations right now and the indicative price that we need to further write-downs on those units. If we turn to slide number 23 and have a look at the change in net working capital, again if you compare over the last 12 months, there is a good improvement and of course, lower activity also have an impact on inventories which are down. Prepayments are consequently down but please remember here and also look that they are not reduced to the same extent which means prepayments include also milestone payments. If we look at the change over the last 3 months, there is also a positive development on the net working capital and in particular on the receivables that has improved. So a lot of focus on all directions in the working capital. You can see that payables are also increasing and despite partly offset by the slight increase in inventories in the quarter. If you look at slide number 24, that represents our good quality improvements in the group, so a lot of focus on quality and quality improvements in the group. So if you compare the warranty provisions in Q2 of last year with this year they are down by 15%, so a very good achievement. The lost production which represents less than 1.5% of our revenue which I think is we understand that’s a very good achievement. The lost production factor continues, stabilizing at a very satisfactory level, so below 2%. If you go to slide number 25 and the cash flow and again, really, really good improvement and the change compared to last year is over 500 million. There is a sale of an own project and to be very precise that it represents 109 million of the 535. So despite that if you would like to call it the extraordinary events, it is a very true operational improvement in the group when it comes to cash flow. That consequently leads to an improvement in the net debt which has been reduced by [500] cash flow or the cash generating part over the last 12 months is over 400 million. That also has an impact on the net debt to EBITDA which is reduced to 1.5 million. Slide number 26, it’s probably done with that. So if we then turn to slide 27, this is the really unsatisfactory part which is ROIC and we are not satisfied with this level of course. So thereby all the focus is really on the turnaround and the items that I have highlighted before, so we need to improve earnings, we need to continue with the cost reduction as we also need to focus on the service business. The better capital efficiency will also continue and as stated earlier that has really paid off in the quarter. If you please turn to slide number 29, we will have a look at the order intake. Order intake has improved compared to Q2 of last year, we have an improvement of 74%, so quite a significant improvement. The average selling price compared to Q2 of last year had also improved. If you look at slide 30, that’s the backlog which now on the wind turbines side amounts to €7.1 billion, so a slight improvement from last quarter. And here the extraordinary events is that we have resolved some of the contracts that was in our order backlog and the reason for doing that is that we have now done a thorough look through the backlog we have and we have realized that it is a few projects that will not materialize as the customers are – don’t have the ability to fulfil their obligations under the contracts. Most of the big part of that reversal is really customers in central Europe – a specific customer in central Europe. If you turn to slide number 31, the backlog for the service business is also increasing and now amounting to €5.9 billion which is an improvement by €0.5 billion in the quarter. And the length is 7 years on the service contracts that we have in the backlog. So of course, a very good achievement and the renewal rate is now amounting to 76% in Q2. Please lead us to the outlook on slide number 32, and here you can see that the outlook is changed and it’s the free cash flow that we are now guiding to a minimum of 200 million. And we expect to see deliveries and the revenue to peak in the fourth quarter, and what we see now in the delivery plan that we have is that the margins in the delivered projects will be stronger in Q4 than in Q3. So really high activity and to a certain extent also some uncertainty but the free cash flow that we guide for is a minimum of 200 million. The other outlook parameters are the same as we showed you in the last quarter. We also see – we have a strong foothold in the US and we expect the significant orders in the second half for the US business. And again as I said in the beginning we have no plans to invest in new facility going forward. And thereby I would like to conclude that all efforts is on ensuring the deliveries of our turnaround plan in the second half of this year. So thank you for listening and thereby we open up for Q&A. 
Operator: (Operator Instructions) Patrik Setterberg from Nordea is the on line with the question.
Patrik Setterberg – Nordea: Couple of questions from my side. I would start out with the prices on turbines, a couple of your peers has been coming with some positive news on the price side, even indicating that they are stabilizing or slight increasing, are you seeing the same trend in the market as your peers? My second question is regarding your net working capital development in the second half, given that your operational results will improve nicely in the second half and you are still only guiding for minimum 200 million cash flow, free cash flow for the full year, are you assuming that the working capital movements will be more unfavourable in the second half? And then my last question is regarding your equipment business, because the service business is doing really nicely here in the second quarter but you are still loss making on the equipment side, just wondering can you give us a status how the V112 cost overruns is going, should we expect this problem to be more – or improve in the larger degree in the second half compared to what we have seen in the first half?
Marika Fredriksson: Okay, if we start with your first question on the pricing, the pricing is of course very dependent on the market and the product. So it’s hard to say that if the prices are stabilizing across the board, what we showed here in the order backlog for this quarter there is a slight increase compared to Q2 of last year. And if you look at it, we are not guiding on the net working capital and we have now guided a minimum of 200 million for the year and of course, what we see in the second half of the year is a very high activity level in the group and that of course also gives some risk on the projects being pushed. What I can say is of course that all focus will be – to continue on the growth path when it comes to the net working capital and thereby the improvements that we have delivered so far. I am not sure that I understand your last question but if you look at the service business, that is of course more stable than the overall product business but we don’t expect a very high cost overruns or we don’t expect cost overruns on the V112.
Operator: David Vos from Barclays Bank is on the line with the question.
David Vos – Barclays: I just have a question on the cash flow development if I can; just if we look forward and we try to assess what a sustainable free cash flow buffer would look like, would it be fair to assume that you would see a material build-up in working capital again as activity levels pick up, say in 2014? That's the first question.
Marika Fredriksson: Well first of all, the sort of management tools we have on the working capital of course, we don’t expect it to – we expect – let’s put it this way we expect that we can control the net working capital, there will be fluctuations in the quarter depending on the activity level but we have done a lot of improvements that are very embedded in the way we operate going forward. So we don’t expect that to be uncontrollable.
David Vos – Barclays: And could you give us an idea of those improvements? Because if I look at -- for example, payables have gone up, what does that indicate? Your receivables have gone down quite significantly. How have you been able to achieve that? And if you could particularly kind of give us a sense of what you would expect inventory levels to be going forward that would be really helpful.
Marika Fredriksson: We will – we have – doing some of the activities to improve the capacity utilization, as I said it’s all the parameters and that is represented by the working capital. So we have a lot of focus on cash collections and that has paid off and that you can see in Q2 that we have an improvement of 190, one to be very precise, I think what is important to highlight that is not only payables because of course, you can push a problem or you can push an improvement but this is truly operational improvement. So really focused on the way we operate, from how we purchase to how we produce and how we sell.
David Vos – Barclays: And then a second question relating to the -- putting the Pueblo facility back into normal operations, what gives you the confidence that next year activity levels there will pick up, is that an expectation of the US PDC being extended? Or is it just based on the current backlog that you already have on your books?
Marika Fredriksson: What we see and how we have decided to properly mitigate the situation is that we see more orders and expect more orders in the US in the coming years. 
Operator: Mark Freshney from Credit Suisse is on the line with the question.
Mark Freshney - Credit Suisse: Hello, good morning. Could I just ask on refinancing the bank facilities and the euro bond? They're both, I understand, maturing in around about 18 months and a company would normally expect to have an idea of how they refinance those some way ahead of that. So can you perhaps give some color on the intended solution? Would you refinance those facilities, issue equity or convertible bond or otherwise? 
Marika Fredriksson: Well, as you know and what has been communicated it’s not that long ago since we entered into a new agreement with the bank. What I feel comfortable with is our own ability to generate cash and as you can see we have managed to reduce our net debt by over 400 million which gives us confidence that we can manage the situation going forward. 
Operator: Claus Almer from Carnegie is on the line with the question.
Claus Almer - Carnegie: Yeah, hello, I have several questions one by one. The first question will be the divestiture of wind farm with the cash flow of 100 million reported in the Q2 report. What has the impact been in the P&L? That will be my first question.
Marika Fredriksson: Okay, so you want to attack one by one, okay the divestment of the wind farm in the P&L has been insignificant, so the big impact is on the cash flow.
Claus Almer - Carnegie: In case you have had some revenue impacts, but [Inaudible] there will be no profit impact?
Lars Villadsen: Yes Claus, that’s correct. We have of course had the revenue and then an earnings element but the big driver is the net working capital improvement.
Claus Almer - Carnegie: Then about your Q4 statement saying that you again will be back-end loaded. What do you see of risks that could make some of the projects slip into 2014? That would be my second question.
Marika Fredriksson: Yes and as I alluded to earlier of course, a busy second half and the – there is always a risk that some of the projects will enter into Q1, we will of course do our outmost to get everything that we expect into the second half of this year.
Claus Almer - Carnegie: But is there some specific markets where you see a higher risk? The question comes from the past where we have seen significant amount of revenue being pushed through to the next year.
Marika Fredriksson: No, I mean we don’t see any specific markets that is carrying a bigger risk than others. It’s in general that we of course understand that, that could be a case but as I said we will do anything we can to get everything that we expect into the second half.
Claus Almer - Carnegie: And then only two questions left. The first one would be about U.S. orders. You said that you expect U.S. orders to materialize in next year, I think you called it, I guess that means the next six months or is it next 12 months?
Marika Fredriksson: Next six months is the timeframe we are seeing.
Claus Almer - Carnegie: And then my final question, you wouldn't give some specific number on pricing due to the different nature of markets. But could you be more precise on the trends you see in the U.S. and in Latin America and in Europe please? That would be my final question.
Marika Fredriksson: Well, we – I am not sure that I want to comment on the specific markets there, it’s a fair comment to say that they to a certain extent are stabilizing but it varies quite significantly market by market.
Operator: Lars Heindorff from ABG is on the line with the question.
Lars Heindorff - ABG Sundal Collier: A couple of questions as well. First of all, group costs, are you still taking out quite a bit of group costs in the quarter? And I'm curious to find out if the level of group costs that we've seen here in the second quarter if that is what we should use as a run-rate going forward or do you expect that you would be able to lower that much further?
Marika Fredriksson: On the group costs and I tried to allude to that is that you can use the run rate as you see now that’s more or less what we expect to be the run rate going forward. And again what I said is also of course anything we can we will reduce in terms of costs, we will of course do that and some of the activities that we have now in place due to the turnaround plan will be embedded in the organization. So it is a different way of working going forward.
Lars Heindorff - ABG Sundal Collier: And then regarding your turbine production, you also said earlier that the value of the margins in the backlog has improved significantly. You're still not where you're supposed to be in terms of the margin in turbine production. How much further up do you expect the margin of the backlog can move?
Marika Fredriksson: We will not guide on what we expect – what I can say – I don’t think I used the word significantly but it has improved. It’s of course part of the improvements in the margin is that what we are doing right in terms of becoming more operationally efficient and so we will continue with the cost reduction that has been indicated and we will of course also continue to look at any divestments going forward.
Lars Heindorff - ABG Sundal Collier: And then last but not least, the write-down in the backlog you commented shortly on that as well and said that it was Central Europe I think you said. Can you say -- is it in a certain kind of customers or do you see any risk in other parts of the backlog?
Marika Fredriksson: I think that if you look at the order of magnitude on what we are taking out of the order backlog is not huge compared to the overall order backlog. So we don’t see any specific pattern but we can see that the order backlog in what we have taken out is highly represented by central Europe but it’s not a great concern for us, it’s more that I had the opportunity now to really make sure that all the order backlog is very current and that we feel comfortable that we will deliver everything we have.
Operator: Arnaud Brossard from BNP Paribas is on the line with the question.
Arnaud Brossard - BNP Paribas: Arnaud Brossard. Three questions, the first one is on prices, you're saying they are stabilizing. Could you tell us how sustainable you believe this is and what changes have led to this improvement in your view? Second question on financial charges and taxes for the year, could you give us an indication of what you expect? And finally, how many employees are there in your plant in Pueblo? And where do you expect to increase the staff cuts to offset the fact that you're now keeping the Pueblo plant? Thank you.
Marika Fredriksson: Okay, if you look at the prices, what I said that they are stabilizing, on the price question and I think in all this is of course, it’s not only us that is affecting the overall price picture, it’s also the behaviour of the competition. So we overall – as I said the prices are more stabilizing and we are also very global company, so that also enabled us to improve and select the different projects. If you look at the staff cuts, I think what I tried to explain anyway was that we have the increases in Pueblo as we are ramping up the plant and that will be mitigated by further layoffs and what we have done so far is of course focus on the salaried employees. We will also continue with the hire increase and also as we are continuing the negotiations to divest the machining and component. And we are not guiding on the taxes or the financial charges.
Operator: Fasial Ahmad from Handelsbanken is on the line with the question.
Fasial Kalim Ahmad - Handelsbanken: A few questions from my side and I will try and take them one at a time. The first one basically relates to your write-down of your backlog. How does this impact the P&L, cash flow and balance sheet, if you could just comment a bit on that.
Marika Fredriksson: Well as I said again we have taken the opportunity but I think if you look at the size of the order backlog, they are huge, there is a cancellation fee for any project as we potentially would cancel. So we will get paid for the cancellations that we have now.
Fasial Kalim Ahmad - Handelsbanken: Has that significantly – I mean has this significantly impacted the cash flow in the quarter and also the inventory reduction and receivables improvement which you have reported?
Marika Fredriksson: No to all of your questions.
Lars Villadsen: Okay, the way it works is that normally or generally cancellation fee is more or less the prepayment that we have already in that. There is no real changes here.
Fasial Kalim Ahmad - Handelsbanken: But that must be impacting your gross profit line?
Lars Villadsen: No, not significantly, no.
Fasial Kalim Ahmad - Handelsbanken: I'll just move onto my next question. I believe Marika, you commented that one should be using your run rate for Q2 capacity costs going forward. Profitability improvement if you look going forward, should that be volume-driven going forward or what other levers do you really have here?
Marika Fredriksson: I think what we are showing you both compared to Q2 of last year and Q1 this year is of course, it is a volume and it is the cost reduction. So it’s the combination of the two that will improve – consequently will improve the EBIT.
Fasial Kalim Ahmad - Handelsbanken: But there aren't any plans to look further on the cost base in the group both manufacturing wise and on the white collar side, to lift profitability. I mean are you satisfied with the kind of profitability you will be able to deliver on the current run rate of sales level?
Marika Fredriksson: Of course we are not satisfied with the current level. So we will as I alluded to – we will continue. I think it’s very important that we focus on delivering the turnaround plan that has been communicated both internally and externally but the focus is to continue improve the profitability for Vestas. 
Fasial Kalim Ahmad - Handelsbanken: And my last question it really relates to your comments about the U.S. market that you have a strong foothold in this market and you're seeing a pick-up in market growth in this market. I mean could you try and give us an understanding what kind of markets do you see in 2013 and '14? What kind of installations do you think one should be expecting in this market? And maybe also comment a bit on your market share development. How do you see that developing in the U.S. in this PDC cycle?
Marika Fredriksson: I think we are getting very close to 2014 guidance on those questions. So I would not comment on that.
Fasial Kalim Ahmad - Handelsbanken: Is there any reason that your market share this year should fluctuate compared to what you did in the last PDC cycle?
Marika Fredriksson: We don’t see any reason for that, no.
Operator: Daniel Patterson from SEB is on the line with the question.
Daniel Patterson – SEB Equities: Yes, hello Marika and Lars. A couple of questions, I'd like to take them one-by-one if possible. Firstly on technology, obviously you've the V112 in good share of production, you've also launched other newer turbine models recently. Are you able to get higher prices and get the prices that you want for those turbines and hopefully therefore also higher margins? So what are you seeing on, let's say, technology impact in the market?
Marika Fredriksson: I think that we see ourselves as the technology leader, of course we anticipate to get paid for any developments that we perform on the turbines. 
Daniel Patterson – SEB Equities: And then perhaps adding onto that, I think Patrik had a question along those lines regarding the cost-out initiatives on the V112 turbine. Are you basically done with those cost-out initiatives now? 
Marika Fredriksson: We have done a lot but we will continue to do more.
Daniel Patterson – SEB Equities: Any flavor, any examples of what you can actually do to lower costs?
Marika Fredriksson: I think all the levers you have on the cost reduction, so that will change – what we do ourselves is what we source and [sell forth].
Daniel Patterson – SEB Equities: And then I have another question regarding the project margins. I know you don't disclose them but in the first quarter you obviously said they were low impacted by specific projects. The way I worked it out around 20% and here in the second quarter it looks like it's about 30%. So my question is really, is the Q2 project margins, and you don't need to give us a number here, but are they then reflective and representative of what you have in your backlog?
Marika Fredriksson: Well again as I have said before we are getting very close to guidance for next year. What I can say is we have a very busy second half and we have made improvements in the second quarter on the margin.
Daniel Patterson – SEB Equities: Well, then my final question relates to net working capital. We've touched slightly upon it before, obviously a phenomenal improvement here in the second quarter even if we exclude the €109 million divestiture. Is it reasonable for Vestas to be operating in general with basically zero net working capital? Is that plausible?
Marika Fredriksson: Yes, it is plausible. 
Operator: Sean McLoughlin from HSBC is on the line with the question.
Sean McLoughlin - HSBC: Yes, good morning. A few questions from me. If you could first of all just explain what happened to the backlog pricing in Q1, it's gone up to €109 million versus €104 million at the Q1 stage. I'm wondering if that's got anything to do with the changes you've made to the order backlog? Secondly, you've reiterated your long-term targets in the statement. I think, could you, Marika, tell us how happy you are with these at this stage? And when we could maybe expect a fuller, proper update of these targets? And thirdly, on the divestment of the machining and casting units, any indication of whether you expect this in 2013?
Lars Villadsen: Hi Sean, this is Lars here. I think the first question that is a mistake from our side. We were simply writing the wrong number in the Q1 presentation.
Marika Fredriksson: If you go to the EBIT margin, that you were asking about and I think as we have said a minimum of 1% and that is clearly – and I said that, as well before, it’s not a satisfactory level but we will of course continue to delivery anything about a minimum of 1%.
Sean McLoughlin - HSBC: But I'm referring specifically to the long-term margins with the normalized market that are reiterated in this statement and I'm wondering how happy you are with this now that I guess you've had time to assess things in a lot more detail?
Marika Fredriksson: You cannot be happy with that level, so as I said in the beginning and we continue to emphasize is we will continue – we need to improve the earnings going forward. If you look at the growth we have I mean want to deliver is of course improve earnings. I think we have done a very successful first – second quarter and first half of this year in terms of improving the net working capital. So a lot of emphasis on improving the earnings going forward.
Sean McLoughlin - HSBC: Okay, and on the divestment?
Marika Fredriksson: Sorry I don’t recall your question, can you –
Sean McLoughlin - HSBC: Sorry, the timing of the divestment of machining and casting units? 
Marika Fredriksson: That’s difficult to say, as I said and also what’s in the pack was that we are in the midst of negotiations and of course, everyone hopes to conclude this as quickly as possible.
Sean McLoughlin - HSBC: You would hope in 2013?
Marika Fredriksson: Yes.
Operator: Klaus Kehl from Nykredit Markets is on the line with the question.
Klaus Kehl - Nykredit Markets: Yes, hello, Klaus Kehl from Nykredit Markets. Two questions. First of all you say that these cost savings they will or you're on track to reach more than €400 million in cost savings. But what is the current run rate here for 2013? And how much above €400 million are you targeting? That would be my first question.
Marika Fredriksson: What we said at the run rate for going forward will be more than 400 million in reduction. As we are striving for more cost reductions and that is also a big lever to get above the minimum 1% EBIT.
Klaus Kehl - Nykredit Markets: Yeah but I mean above 400 million that could be 500 million, 600 million, 700 million, I guess it's not that high, but could you try to quantify this more than 400 million?
Marika Fredriksson: I will not be more specific than that we are striving for more than 400 million.
Klaus Kehl - Nykredit Markets: Okay, could you indicate what the run rate is for 2013? I guess we must be around 300 million in that range?
Lars Villadsen: I think it’s fair to say that if you look at our presentation that the 400 million is more or less in the back and we now – took it in more than territory as high as possible of course. 
Klaus Kehl - Nykredit Markets: My second question would be a follow-up on one of the previous questions. Your financial target is to reach a high single digit EBIT margin mid-term. When will you update us on that given what you know about cost initiatives, prices, volumes, et cetera?
Marika Fredriksson: We will of course get back to that at the appropriate timing. For now I just emphasize that we will do our outmost to improve the minimum 1% EBIT.
Klaus Kehl - Nykredit Markets: Yeah but what about this mid-term target, high single digit, that's between 5% and 10% I guess?
Marika Fredriksson: Yes, you are absolutely right on that. But we will get back to you on that at the appropriate timing.
Lars Villadsen: Operator, could we please have the final question?
Operator: Shai Hill is on the line with the final question. 
Shai Hill – Macquarie: Right, just most of my questions have been answered, Lars and Marika, so just two really. First of all, just on pricing, I'm sorry just to keep coming back to it but it just seems to me that there's obviously, when we talk about price per megawatt there's a mix, a sales mix effect in there. And I just wondered, Marika, if you can give us an indication of as an accurate picture of like-for-like pricing as we are seeing on new orders? So when one of your sales staff is negotiating on a contract for V112s, for example, in Germany or in America, give us some insight in what the kind of pricing is looking like now relative to the end of last year on a like for like basis? And the second question is just on the cost savings, we are talking about a 400 million run rate, is the run rate now already at the end of Q2 but these sort of 1000 machining and casting employees to leave in the second quarter, is that incremental cost savings to that 400 million?
Marika Fredriksson: The people -- I would say is not that significant as it’s not that many salaried employees in the machining and casting units for obvious reasons. So should not expect a huge impact from the divestment in terms of cost reduction. When it comes to pricing, it’s difficult for me to be more precise than what i have been – we overall see that the prices are stabilizing and it is difficult depending on the country mix and also type of products. So it is big variation in between the different regions and also countries. 
Operator: That was today’s last question. I will now give the word back to your host. 